Operator: Good day, and welcome to the Nabors Industries Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note today's event is being recorded. I would now like to turn the conference over to William Conroy, Vice President, Corporate Development and Investor Relations. Please go ahead.
William Conroy: Good morning, everyone. Thank you for joining Nabors' second quarter 2025 earnings conference call. Today, we will follow our customary format with Tony Petrello, our Chairman, President and Chief Executive Officer; and William Restrepo, our Chief Financial Officer, providing their perspectives on the quarter's results, along with insights into our markets and how we expect Nabors to perform in these markets. In support of these remarks, a slide deck is available, both as a download within the webcast and in the Investor Relations section of nabors.com. Instructions for the replay of this call are posted on the website as well. With us today, in addition to Tony, William and me, are other members of the senior management team. Since much of our commentary today will include our forward expectations, they may constitute forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. Such forward-looking statements are subject to certain risks and uncertainties as disclosed by Nabors from time-to-time in our filings with the Securities and Exchange Commission. As a result of these factors, our actual results may vary materially from those indicated or implied. During the call, we may discuss certain non-GAAP financial measures, such as net debt, adjusted operating income, adjusted EBITDA and adjusted free cash flow. All references to EBITDA made by either Tony or William during their presentations, whether qualified by the word adjusted or otherwise, mean adjusted EBITDA as that term is defined on our website and in our earnings release. Likewise, unless the context clearly indicates otherwise, references to cash flow mean adjusted free cash flow as that non-GAAP measure is defined in our earnings release. We have posted to the Investor Relations section of our website a reconciliation of these non-GAAP financial measures to the most recently comparable GAAP measures. With that, I will turn the call over to Tony to begin.
Anthony Petrello: Good morning. Thank you for joining us today as we review our second quarter results. We will also comment on the Parker Wellbore business that we acquired in March and on the current market environment. The second quarter had several positive developments. Adjusted EBITDA totaled $248 million. This performance was in line with our expectations. It includes a full quarter contribution from the Parker operations, improved results in our U.S. Drilling business and 4 rig deployments in the Middle East. The Parker businesses performed well. They made a meaningful contribution to our overall results, and we are on track to achieve our $40 million cost synergy target for 2025. I also want to mention our legacy Nabors business, excluding Parker, improved in the quarter. This performance speaks to the strength of our portfolio. Next I'll address the broader market environment. A number of factors currently influence oil. Global oil demand remains strong and growing. U.S. trade policy, specifically tariffs, appears to be gaining clarity. At the same time, production is increasing in certain countries, particularly in offshore reservoirs and U.S. production, especially from unconventionals, continues to benefit from efficiency gains. In sum, the global oil market appears stable. This backdrop is supportive. Along with our presence in most major producing countries, we are well positioned to capitalize on opportunities across the globe. As for natural gas, that market has proved resilient. In part, this is driven by increasing LNG exports. The gas-directed industry rig count in the Lower 48 has increased thus far in 2025. Our own rig count in the gas basins has grown since February. Natural gas activity in the U.S. appears poised for further recovery over the upcoming quarters. We are prepared to act quickly to stand up rigs in that event. Next I will elaborate on our results. In the second quarter, the U.S. Offshore and Alaska drilling operations, in particular, demonstrated the value of our differentiated businesses. Together, these contributed more than $28 million adjusted EBITDA in the second quarter. Nabors Drilling Solutions gross profit margin reached 53%. Margins increased in most of the NDS product lines. EBITDA from NDS now accounts for approximately 25% of our total operational EBITDA. Our own Lower 48 average rig count increased by nearly 2 rigs. Activity in natural gas basins continued to improve. We entered the second quarter at 63 above our 61 rig average for the first quarter. We held at 63 to 64 until mid-June. We then finished the quarter at 60. Now our rig count stands at 59. The Lower 48 market continues to feel some pressure from activity reductions in oil-focused basins as clients rationalize their operations. Next I'll discuss the international markets. Let me start with Saudi Arabia. A significant transformation is underway in this market, one that has accelerated in the past 2 years. The Kingdom has progressively shifted its drilling focus from oil to natural gas. Since the beginning of 2024, in line with those objectives, a substantial number of land rigs have been idled. The majority of those rigs were drilling for oil. Over the same time period, the equivalent of half that number has started operating. These are primarily in deep gas and unconventional gas basins. These actions have taken the land rig count from 207 to 178 over this time. During this period, SANAD's own rig count has increased by 4 rigs. In the second quarter, SANAD delivered strong results as 2 more newbuilds were deployed. Looking ahead, we are pleased to announce SANAD has received awards for 5 more rigs. With the award of this fourth tranche, the newbuild deployment schedule calls for 2 more in 2025, 4 in 2026 and 2 in 2027. Elsewhere in the Eastern Hemisphere, we see industry activity improving. We've identified more than 25 opportunities to add rigs. Markets where we currently operate account for approximately 40% of this total. This total opportunity set is healthy. The addition of that number of rigs would support both industry utilization and pricing. In Latin America, activity in Mexico remains uncertain. We currently have 3 offshore platform rigs working. Our fourth rig reached the end of its contract. Our customer has expressed interest in recontracting the rig. With their specifications and capabilities, our rigs are ideally suited for the customers' offshore platform activity. They have a modular design, which enables rapid moves between platforms. This provides us with a significant competitive advantage. However, with our customers' current initiatives to reduce costs, there could be some exposure to our rig count. Our receivables collections in Mexico were below our target for the quarter. The Mexican government recently announced a structured transaction designed to support our customers' vendor payments. We are encouraged by this development and anticipate progress during the third quarter. In Colombia, we now have 7 rigs working following the previously announced release of 1 rig. The rig should be recontracted in the third quarter with another customer. In Argentina, one of our clients reduced its activity, impacting one of our rigs at the end of the second quarter. That rig has been committed to another customer with an early fourth quarter start. At the same time, we have 2 more rigs preparing to start in the Vaca Muerta basin for the same customer, one in the fourth quarter and the second early next year. These deployments will bring our rig count in Argentina to 13 in early 2026. We see a number of opportunities to add rigs in Latin America. These are primarily in both Argentina and Colombia. Now let me comment on the U.S. market. The Baker Hughes weekly Lower 48 rig count declined by 7% from the end of March through the end of June. As this overall rig count declined, we noted a small shift in mix towards larger operators. Our own mix in this market is approximately 80% public and 20% private. Operator consolidation continues to impact drilling activity predominantly in oil basins. While the pace of merger announcements has slowed, the activity rationalization process takes time. That continued through the first half. Once again, we surveyed the expected drilling activity of the largest Lower 48 operators. This group accounted for approximately 44% of the Lower 48 industry's working rig count at the end of the quarter. This most recent iteration indicates a slight decline in the group's rig count through the end of the year. 70% of the operators expect no change in activity. The rest are a mix of up and down. The expected aggregate change for the group in total is down around 1%. The pace of decline in Lower 48 rig count for the industry has diminished. We see stability in our own rig count through the remainder of the year. Now I will make some comments on the key drivers of our results. I'll start with our international drilling business. This segment is a core contributor to our long-term success. Currently, we are deploying previously awarded rigs. We started 5 in the Middle East since the beginning of the second quarter. Several attractive markets are growing. Our advanced technology gives us an advantage as we tender rigs. Importantly, we are able to propose currently idle assets. This is a capital-efficient path to growth. Next I'll highlight the recent developments in our international drilling business. First, Kuwait. This is a very important market. It offers opportunities for the highly capable rigs in our fleet. In the second quarter, we deployed 2 of our 3 previously awarded units on multiyear contracts. Early this quarter, we deployed the third. These additions should help fuel the sequential EBITDA growth we expect in our International segment. Second, Saudi Arabia. Our SANAD joint venture deployed 2 newbuild rigs in the second quarter. These are the 11th and 12th in the newbuild program. The total program calls for 50 rigs over 10 years. SANAD is on track to deploy the next 2 builds before the end of 2025. Also in Saudi Arabia, SANAD has been awarded the next tranche of 5 rigs. Deployment of these rigs is scheduled to begin in 2026, with the final one starting in early 2027. This tranche will take the number of new builds to 20. Let me add a few more remarks regarding SANAD. The newbuild program is a unique opportunity in the global land drilling industry. It was a key factor in our decision to pursue the opportunity to partner with Saudi Aramco 10 years ago. The addition of new build rigs creates an embedded growth trajectory for several years to come. Those rigs have 10 years of expected initial utilization. That visibility is unmatched in our industry. With this robust anticipated growth, SANAD shareholders are committed to realizing the value that is building in the joint venture. Now I'll discuss our performance in the U.S. We are the only drilling contractor with operations in all 3 of the major markets in the U.S., the Lower 48, the Gulf of America and Alaska. Our offshore and Alaska businesses combined contributed nearly 30% of our U.S. adjusted EBITDA. These businesses benefited from the addition of assets from Parker Wellbore. In Alaska, we now have 7 rigs working, including 2 units that came from Parker. Last year, at this time, we had 4 rigs running. This market is improving. Future large projects may strengthen the market even further. As expected, Lower 48 daily rig margins in the second quarter declined. Rigs continue to recontract at leading-edge day rates below the fleet average. However, rig count increased more than offsetting the impact from margins. Looking to the third quarter, we expect some continued pressure on pricing. In this environment, we will continue our efforts to ensure that our operational expenses remain under control. We will also align our support structure and capital expenditures to our activity. Next let me discuss our technology and innovation. Second quarter results for Drilling Solutions reflect the contribution of a full quarter from the Parker operations. Gross margin for this segment was 53%. The improvement over the first quarter was broad, spread across most of the NDS product lines. Quail Tools is now the largest revenue contributor in the NDS portfolio. I want to highlight Quail's Lower 48 penetration in the second quarter. Running counter to the overall market, Quail added rigs in the second quarter. It has added even more early in the third quarter. I'll finish with a comment on NDS' geographical mix. In the second quarter, international operations accounted for nearly 40% of the segment total. On a comparable basis, including the Parker operations for the full first quarter, NDS international revenue increased sequentially by 8%. This result demonstrates the growing demand for NDS' advanced technology in markets around the globe. Next let me make some comments on our capital structure. Our highest priority remains the reduction of our debt. During the second quarter, we repurchased approximately $14 million face value of notes at a significant discount. For 2025, we expect to generate free cash flow. We intend to allocate that towards debt reduction. Before turning the call over to William for his review of our results and outlook, I would like to take a moment to acknowledge his many contributions to Nabors. William joined us in 2014, just before the sharp downturn that began later that year. Through his leadership and financial discipline, we significantly reduced net debt during that challenging time. As the market recovered, he was instrumental in the formation of our SANAD joint venture, an important milestone for our company. During the unprecedented disruption of COVID, William once again demonstrated his leadership. We successfully navigated a difficult period that forced several companies in our industry to restructure. In summary, William has helped Nabors steer through some of the most challenging times. We have benefited from his many contributions, and we wish him all the best as he moves into the next phase of his career. Now let me turn the call over to William, who will discuss our financial results.
William Restrepo: Thank you for those kind words, Tony. Good morning, everyone, and thank you for joining us today. The current market backdrop merits a few comments as macroeconomic uncertainty remains a key theme. Financial markets continue to digest the impact of the current administration's approach to foreign trade and the ongoing debate between treasury and the Fed. Geopolitical tensions are also affecting the capital markets. Nonetheless, more recent favorable trends in employment growth, inflation and progress on the trade front have had a positive impact on credit spreads. Although these spreads are still well above the levels we saw earlier in the year, the recent improvement is encouraging. If inflation remains tame and more tariff treaties are signed, we would expect some interest rate reductions by the Fed and a further compression of credit spreads over the balance of the year. These trends should benefit the cost of our upcoming refinancings later this year. Despite the current investor concerns, global energy demand remains resilient and operator sentiment is largely constructive, particularly in regions focused on natural gas. In our U.S. Lower 48 business, we increased our average rig count by 2 rigs over the last quarter, supported by gas-focused programs in the Appalachian and Haynesville basins. This trend of increased drilling for natural gas should continue. On the other hand, Lower 48 activity in predominantly oil basins remains sluggish. Although contract turnover driven by earlier M&A activity is returning to more normal levels and oil prices have improved from recent lows, we don't believe this will be enough to drive oil-focused activity higher during the remainder of the year. However, overall rig count for the Lower 48 has stabilized over the last 2 months and pricing remains resilient. This environment gives us confidence about our expected pace of cash flow generation and debt reduction during the balance of 2025. Overall, international activity in the markets where we operate fell somewhat as our client in Saudi Arabia continued to reduce its onshore drilling, particularly in oil basins, and our customer in Mexico continued to cut back on its investment programs. In Argentina, although market activity remains strong, some customers have slowed down drilling programs as they digest material asset acquisitions. Nabors' average international rig count increased by 1 rig, mainly driven by additional newbuilds in Saudi Arabia and reactivated rigs in Kuwait. These gains were partially offset by a previously announced market exit and by the conclusion of our contract in Papua New Guinea. One of our rigs in Mexico reached the end of its contract. We are currently in discussions on the contract extension. Before discussing our financial results, I will provide a brief update on our recent acquisition of Parker Wellbore. The second quarter marks the first full period of consolidated results, adding 71 days of Parker operations compared to the prior quarter. We have made excellent progress on the integration front and are well on track to achieving approximately $40 million in post-closing synergies by the end of the year, somewhat above our initial target. I'm also pleased to report that the acquired business contributed meaningfully to both revenue and EBITDA during the quarter. Parker's performance exceeded our expectations for this quarter. We also expect its annual results to be higher than the level we previously shared with our investors. As I walk through the results, I will highlight areas where Parker's operations had a notable impact. I'll now cover our financial results for the second quarter, provide updates on our cash flow, discuss debt refinancing and share our outlook for the third quarter. Revenue from operations for the second quarter totaled $833 million compared to $736 million in the prior quarter, an increase of $97 million or 13%, primarily reflecting the full quarter impact of the Parker acquisition. Our legacy drilling rig segment experienced an overall revenue decrease, reflecting rig count declines in certain international markets, partly compensated by revenue increases in Kuwait and the U.S. Nonetheless, their margins increased in the quarter. U.S. Drilling revenue for the quarter was $255 million, representing a sequential increase of $25 million, or 11%. The improvement reflects both stronger organic activity and a positive contribution from the Parker acquisition. The full quarter impact for Parker rigs in Alaska and offshore accounted for approximately $19 million of this increase. Our rig count in the Lower 48 averaged 62.4, almost 2 rigs higher than the first quarter. The sequential improvement in our average rig count during the second quarter reflects some recovery in gas-related drilling. We exited Q2 with 60 rigs operating in the Lower 48. The current drilling environment, particularly in oil basins, is not supportive of increased drilling activity. At this point, we're expecting a slightly softer drilling market during the third quarter than we anticipated at our first quarter conference call. Our average daily revenue at $33,466 declined sequentially by roughly $1,000. As anticipated, $600 out of the $1,100 decline came from pressure on base day rates. The balance of the decline came from reimbursable revenue. However, this last revenue has little to no impact on margin. On our most recently signed contracts, daily revenue remains at the low $30,000 range. The International Drilling segment generated revenue of $385 million, an increase of $3.3 million or 1% from the prior quarter, primarily driven by the full quarter impact of Parker rigs, which more than offset the net rig count reductions on our legacy business. Parker contributed $18.1 million to this increase. International rig count increased from 85 to 85.9 rigs during the quarter. Drilling Solutions revenue was $170.3 million, an increase of $77.1 million or 82.7%. All of this improvement was essentially provided by the full quarter impact of Parker Wellbore. Our Rig Technologies segment generated revenue of $36.5 million, a $7.6 million decline sequentially, driven primarily by strong prior quarter capital equipment deliveries in the Middle East. Consolidated adjusted EBITDA for the quarter was $248.5 million compared to $206.3 million in the first quarter. The $42.1 million sequential increase was primarily driven by the full quarter effect of Parker's operations as well as by improvements in legacy Saudi Arabia and U.S. Drilling. U.S. Drilling EBITDA of $101.8 million was up by $9.1 million or 9.8% sequentially. The quarter-over-quarter increase was driven by higher activity in our Lower 48 drilling operations, along with improved performance in our legacy Alaska and U.S. Offshore businesses. The results also reflect a full quarter of contribution from Parker operations in both Alaska and U.S. Offshore, which accounted for $6 million of the total increase. In the Lower 48, our average daily rig margins were $13,902, down 2.6% from the prior quarter. Average rig count was 62.4%, up almost 2 rigs from the prior quarter. Although our rig count increased, we experienced some softening towards the end of the quarter. Sequentially, increased activity more than offset the effects of lower margins. For the third quarter, we forecast Lower 48 daily margins of approximately $13,300. We expect some decline in average daily revenue as we renew contracts at leading-edge day rates lower than the Q2 average. We are currently forecasting third quarter average rig count of 57 to 59 rigs. On a combined basis, Alaska and U.S. Offshore generated EBITDA of $28.2 million in the second quarter, an increase of $7.7 million or 38% from the prior quarter. Third quarter EBITDA from these businesses should total approximately $26 million. We anticipate some weather-related disruption to our offshore activity during the quarter. EBITDA from our International segment at $117.7 million increased by $2.2 million or 1.9% sequentially. The increase in EBITDA was supported by a modest improvement in average rig count, up by 1 rig quarter-over-quarter. This reflects the full quarter inclusion of Parker rigs, start-up of 2 newbuilds in Saudi Arabia and 2 reactivated rigs in Kuwait. These improvements were partially offset by the reductions in other international markets. Daily gross margin was approximately $17,534, a $113 increase. Our drilling margins were slightly lower than anticipated, reflecting start-up delays in Kuwait and some operational downtime in Saudi Arabia. For the third quarter, we expect improved EBITDA by the rigs deployed in the second quarter by another newbuild start-up in Saudi Arabia, our 13th newbuild, by an additional reactivation in Kuwait, which commenced earlier this month and by a rig starting up in India. This last rig is a legacy Parker rig already redeployed from Bangladesh. We forecast average daily gross margin to increase to $17,900 in the third quarter. Average rig count should range between 87 and 88 rigs. Drilling Solutions delivered EBITDA of $76.5 million in the second quarter, up $35.6 million. Parker Wellbore contributed $36.3 million to this increase. Without Parker, our NDS business decreased slightly in the Lower 48 market as our drilling rig customer mix was less favorable. Our NDS segment comprised 25% of the total EBITDA from operations. Gross margin for this segment continues to be strong, coming in at a healthy 53% this quarter, including the contribution from Parker. For the third quarter, we expect NDS EBITDA to remain in line with second quarter results. Rig Technologies EBITDA was $5.2 million in the second quarter, slightly down sequentially from $5.6 million. Third quarter EBITDA for Rig Tech should be up $2 million to $3 million from the second quarter on better capital equipment deliveries. Now turning to liquidity and cash generation. Adjusted free cash flow totaled $41 million in the second quarter. This excludes transaction costs related to the Parker Wellbore acquisition. This compares to negative adjusted free cash flow of $61 million in the first quarter. The improvement was driven by several factors, including $45 million in lower cash interest paid, the Parker contribution and the normally heavy outflows in the first quarter for employee bonuses, property taxes and other annual payments. Although we received some payments on our Mexico receivable, these were well below our targeted amount. Our customer is currently in the news, as it is in the process of completing a $7 billion to $10 billion financing intended to address the outstanding payments to suppliers. We expect this raise to clear most of our overdue invoices in the third quarter. Assuming we receive those collections, third quarter adjusted free cash flow should match the second quarter. Despite the somewhat softer market in the Lower 48, the full year adjusted free cash flow should reach our prior guidance. With Parker included, total capital expenditures for Nabors in the second quarter were $199 million compared to $151 million in the prior quarter. This includes $77 million for the SANAD newbuild program and $31 million for Parker. With respect to planned 2025 capital expenditures, a portion of the newbuild milestone payments have shifted into 2026. And our continued focus on cost discipline across other segments is expected to further reduce spending. As a result, we now anticipate total 2025 capital expenditures to be between $700 million and $710 million, or approximately $70 million lower than previously communicated. Within that total, we expect capital expenditures related to Saudi newbuild rigs to account for approximately $300 million. For the third quarter, we are currently targeting capital expenditures between $200 million and $210 million. Before passing back to Tony, I would like to make a few comments. As Tony mentioned, my tenure as Nabors CFO is coming to an end, on September 30th to be precise. So this is my last conference call for Nabors. I would like to thank my colleagues for their support during these last 11.5 years, our Board of Directors for their trust in me and all of our investors for supporting our transactions and our company during some very tough periods. But especially, I would like to thank Tony Petrello for giving me this great opportunity to work with him to help turn Nabors into the amazing company it is today. Thank you, Tony, for your trust and your support all these years. You have been a great boss, an incredible teacher and now a great friend. I will miss working with you. As we previously announced, Miguel Rodriguez, our Senior Vice President of Operations Finance, will step into the role of CFO next quarter. I worked with Miguel several times in Schlumberger, where he had a very successful career. Needless to say, I knew him very well. We brought Miguel to Nabors to eventually replace me upon my retirement. At the time, he was the Head of Finance for the Drilling Group in Schlumberger. His dedication, integrity, extreme competence and absolute commitment to making Nabors a best-in-class company have impressed us. Since joining Nabors in 2019, Miguel has made a strong impact, shaping our finance team, strengthening our cost focus and taking on broader responsibilities across the company, including not only operations finance, but also tax and treasury. We have worked closely together as he has progressively taken on additional responsibilities. I'm confident he's very well prepared to replace me, and I look forward to seeing the company continue to benefit from his strong leadership. With that, I will turn the call back to Tony.
Anthony Petrello: Thank you, William. I will finish this morning with a few points. Our portfolio of diversified businesses demonstrated its value in our second quarter results. Even if the Lower 48 market fell somewhat, our own operations in this market grew sequentially. We are encouraged by the expected stabilization of rig count in the second half and the prospect for a future uptick in gas drilling. Parker did not have a drilling rig presence in the Lower 48. However, its operations certainly contributed to most of our segments. In North America, we are strengthening our footprint. We've added Quail Tools and casing running services in the U.S. as well as drilling rig services in the Gulf of America, Canada and Alaska. Internationally, Parker adds to our strength in the Middle East together with incremental rigs in Kazakhstan and India. We believe our continued effort to integrate Parker's businesses will unlock significant additional benefit. I cannot stress enough the value brought to our company with the continued expansion of SANAD. On today, we have an awarded pipeline of 8 additional rigs through 2027. Finally, we are encouraged by the improvement in free cash flow over the first quarter. Our outlook for further growth in free cash flow positions us well to address the 2027 debt maturity before the end of 2025. Thank you for your time this morning. We'll now take your questions.
Operator: [Operator Instructions] And today's first question comes from Grant Hynes with JPMorgan.
Grant Hynes: It was great to see sort of the fourth big 5-rig award from SANAD. And just as we think about sort of the growth prospects into '27, could you perhaps speak to maybe how incremental you see these new build rigs? And if any of the suspended or legacy Nabors rigs, you've seen opportunities maybe outside to work in other Middle East regions such as Kuwait?
Anthony Petrello: Sure. So I mean, right now, there's 52 rigs in SANAD on the payroll. A bunch of them are also Nabors-owned rigs that are leased into SANAD. And I would say that virtually the entire fleet there are rigs that are well suited to anywhere in the region. And so, if things did change, there is an opportunity to actually work in other countries. But right now, where we are right now, I think we're -- we believe we're pretty well suited with what the opportunities are in the country themselves. The rigs -- certain rigs are high specifications that could go to Kuwait, for example, for the gas drilling there. And obviously, every one of those markets has different attributes. So there would be incremental capital required for some redeployments. But by and large, we're really happy with our fleet in the Middle East, in general. I think our positions in Kuwait, Oman and the rig in UAE as well, we're really happy with that as a fleet as a whole. I don't think there's anybody in the marketplace that has a better fleet poised for all the opportunities in that region.
Grant Hynes: Appreciate the color. And then as a follow-up, maybe just a clarification. When considering sort of the flat $80 million adjusted free cash flow guide, it looks like $30 million lower cash burn at SANAD, $60 million less new build CapEx and I think $10 million Lower 48 in other implied CapEx. Could you just help us reconcile sort of the unchanged free cash guide in that context?
Anthony Petrello: So I mean, there's a lot of moving pieces in SANAD, by the way. But in reality, we have a $70 million cut in CapEx, but we also -- because these cuts come late in the year, we also cut back on the CapEx liabilities. So we weren't expecting to pay those by year-end. So in reality, the impact on cash flow is about $50 million really. We have adjusted, of course, the U.S. following the Liberation Day noise, which did have an impact or we think will have an impact in Lower 48 rig count. Across segments, I think that is about $15 million, one-five. In addition, there is still some uncertainty in Mexico. So we took a cautious reduction in our forecast for Mexico of about $10 million. And we think in places like Argentina, where we're seeing some reduction in activity from some clients as well as delays in deployments in Kuwait and Saudi Arabia, we took a combined $15 million. So roughly $40 million of EBITDA we took off the forecast. And the CapEx is about a $50 million improvement net of the payables.
Operator: And our next question today comes from Waqar Syed with ATB Capital Markets.
Waqar Syed: Well, first of all, I really want to thank William for his friendship all these years. William, I've always enjoyed speaking to you. I've learned a lot from you. And you really will be missed by all the investor community and all the analysts who follow Nabors. So best of luck in your next chapter and I will personally miss you as you move on. On the Saudi market, we've seen some rigs being released. What are the risks to some of the Nabors legacy rigs in Saudi Arabia?
Anthony Petrello: Sure. Well, let's just comment in general, what's been going on there. Since the start of 2024, I think 64 land rigs were idled and 35 rigs went back, became online. So the net down was about 29 rigs from about 207 to 178. Since June 30, it looks like there may be an additional 4 or 5 rigs that also suspended. I have no secrets in terms of understanding what Aramco is really doing here but from what I gather, what they're actually doing is evaluating the current production rate, which is 9.3 to 9.5 barrels a day and looking at their maximum production of 12 and trying to right-size what their investment should be between those 2 things and figuring that out. And so that's the process that's going on right now to figure out a resetting of that to make sure that they can fulfill that. And so that's the process and obviously, it's caused a bunch of friction. With us, obviously, during this period, SANAD actually increased the rig count by 4 rigs, which is obviously due to the new build program, and we stand at 52 today. And we also would note that SANAD hasn't been unscathed as we remarked during the past year, we actually had 3 rigs suspended. So we believe we're very well positioned for obvious reasons with the relationship with Aramco, but also the SANAD operating fleet has more than 75% of the rigs are gas functioning rigs, and that is where the growing focus has been in the Kingdom. And then obviously, the newbuild program, which, as you can see from this announcement, I know there was some concern that this is going to be delayed or revisited. But Aramco seems to be very committed to this long-term newbuild program, which is an agenda item for their Vision 2030 as well. So there's a lot of other factors go into it. And so, they've been very supportive of it, and that's given us a really good confidence in what we're doing right now. So I think, all-in-all, that puts us in a pretty good position going forward and what we're focused on just building a great company right now.
William Restrepo: Waqar, those rigs were suspended last year for us, those 3 rigs.
Waqar Syed: Yes. And then on the U.S. Lower 48 drilling margins, $13,300, that's the guidance for Q3. Do you think margins kind of bottom here based on what you know or there could be more downside as additional rigs mark-to-market?
William Restrepo: Waqar, one thing that encourages us is that for now multiple quarters, the actual revenue per day on a leading-edge basis has stayed fairly consistent and above the [ 13,000 ] level. So that is encouraging because we've had a significant stability now for 3-plus quarters. I would say that the fact that, that level though is maybe a little bit over $1,000 lower than our average for the fleet means that that's why we're dialing in $13,300 for the third quarter because we will continue to erode a little bit. But once we get there, we're very, very close then to where the leading edge is. And yes, I do think that we should be able to sustain ourselves above the $13,000 level.
Operator: And our next question today comes from Keith MacKey with RBC.
Keith MacKey: I know it's early to do so, but thinking about 2026 potential CapEx levels, can you maybe just run through some of the drivers of how you'd build up the CapEx budget for 2026 or any notable pieces that would make CapEx in 2026 different from the $700 million to $710 million you'd expect to spend in 2025?
William Restrepo: So it's a good question, Keith. We -- the way we build it, definitely, SANAD is very easy because we have milestones all the way through 2027 in terms of payments and deployments. So that piece, the new builds is very fairly easy to do and probably will be somewhere in the mid-300 range for 2026, given the recent awards. I would say that the rest is just average CapEx, sustaining CapEx per fleet, which is going to be a bit bigger next year than this year, we think. So in the U.S., we know what the average is and then in the international markets, it's a little bit higher than in the U.S. So based on those numbers, we construct the -- what we expect to be our well-known CapEx. Then we have other issues like, for instance, in places like Saudi Arabia, we have recertification CapEx. And again, we know what that is going to be because that is all -- it has specific dates. So that adds a little bit to the cost. And then if we win contracts internationally, in particular areas, and we estimate how much of many of those wins are going to be, then we add a little bit more CapEx for the recontracting requirements of the client. So based on that, I can tell you with quite a bit of certainty that we will be a little bit higher next year than this year just because the fleet is going to be larger. And so that's our estimate at this point. We haven't started the process yet, but we think that the CapEx is going to be a bit higher next year than this year.
Keith MacKey: Got it. Appreciate that color there, William. Maybe just on Mexico, can you talk a little bit more about the collections. I noted you're a little bit behind where you expected or hoped to be in Q2. Can you just talk about sort of the process there? And any potential actions or methods you can to increase the collections? I know it might be sensitive to get into too many specifics, but any color you can give around that would be helpful in terms of what you can do and the amounts and all that sort of stuff.
Anthony Petrello: Sure. I'll let William give you the details, but I just want to make one comment, which is I think Nabors' position there is a very great position in the sense that the rigs that we have there are viewed as really core to the ongoing production that PEMEX has. They're unique because of their unique capabilities of fitting out platforms and moving cost effectively. So I think one of the things we got going for us is that PEMEX does really value Nabors as a vendor and wants us to continue in the country. So that is one thing that we're -- we think is a real attribute of our position there.
William Restrepo: [indiscernible] Tony. In reality, most of these rigs end up being direct negotiations with the client because they absolutely want to keep them. So on the collection side, in the second quarter, we were already kind of advanced with one of the financial institutions in the country that has a special relationship with PEMEX, whereby they take on the receivable and pay us some money or in PEMEX bonds or whatever mechanism they create without recourse. So we've done that in the past, and we thought in the second quarter, that's what was going to happen. But towards the middle of the second quarter, I think the government decided to take the bull by the horns and take direct control of this process. And in reality, I mentioned during the call that $7 million to $10 million -- $7 billion to $10 billion, but I just saw some news a second ago that in reality, it was $12 billion what they issued or they put in place to reduce the vendor -- the overdue vendor invoices. We think this should move very quickly, the process and somewhere over the next couple of weeks, 3 weeks or so, we will be able to make very substantial collections. We are assuming somewhere in the range of $40-plus million during the third quarter.
Keith MacKey: William, certainly congrats on a great career and best of luck in your next chapter.
Operator: And our next question today comes from Jeff Le Blanc with TPH.
Jeffrey LeBlanc: I just wanted to see if you could comment on Lower 48 daily drilling costs moving forward and where you think they'll ultimately stabilize long term, as I believe you previously mentioned it was going to be a focus area moving forward.
Anthony Petrello: Obviously, that's been a focus of ours to right-size the operation. You noticed in the first quarter where we paid a price with churn on the cost structures but I think we have it pretty well under control. We're not -- we don't see a lot of inflation right now in our costs, and we're just trying to optimize against our rig count, not only the direct costs. And obviously, there, it's a deal of having purchasing group supply chain get the best deals given this environment, but also right-size our support structure for the existing rig count. So we think there's more good things to happen there, but that remains a focus of ours.
Operator: And our next question today comes from Michael [indiscernible] with Susquehanna.
Unidentified Analyst: Just going back to the reduction in CapEx related to this and add new builds this year. Does the push from '25 to '26 for that $60 million push the '26 spend to '27, i.e., is the whole schedule pushed out, or is there at least for now an increased amount in '26 to be further negotiated out? I just think the more flexibility investors understand you guys have, I think, the better. Curious if you could comment on the schedule for basically all through 20 rigs now that they've been awarded.
William Restrepo: The schedule is the driver. It's not really -- I mean, we're going to be spending the amount because the rigs are the same number. It's just that some of those milestones shifted somewhat into 2026. And I would assume that, that will mean that 2026 milestones will shift a little bit into 2027. The impact on revenue is not dramatic because it's really mostly milestones of uncompleted rigs. It's not really rig deployments. We did have some delays in 2025 on the deployment of the Saudi rigs, maybe a month per rig or something like that but it's not a massive impact on revenue. Maybe I think probably in Saudi Arabia, the impact has been about $5 million in revenue or in EBITDA, I guess, in 2025. But again, it's more a slippage than a reduction in CapEx.
Operator: And our next question today comes from John Daniel at Daniel Energy Partners.
John Daniel: William, congrats on retirement. If your next chapter turns out to be boring, give us a call. We're a safe space for the AARP community. Tony, just one question for you. Do you ever have any interest in sort of looking at more production-oriented services? And I hate to bring up the past, but would you ever consider revisiting, say, something like the well service sector or something along those lines?
Anthony Petrello: Obviously, I think as the industry gets to the point where the goal is to maximize EOR. I think the notion of having something in our portfolio that gives some benefits along those lines makes sense. And so one of the things that we are doing actually within our existing downhole fleet is putting more emphasis on some of our tools that actually can survey the wellbore in the lateral and give an operator a better idea of how to extract value in EOR with intelligent fracking. And so that is one area to do that. Things that would complement that, yes, we would be open to it because we think long term, as the industry moves into this more mature environment, you need to get on the mill to help them address the quest for lower BOE. So things that would make logical sense that would be contiguous to what Nabors does, I think that would fit that would be of interest to us, I would say.
William Restrepo: I think it's unlikely we'll get back into pressure pumping.
Anthony Petrello: Yes, exactly.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Nabors for any closing remarks.
William Conroy: Thank you, Rocco. If there are any questions or follow-ups, please reach out to the Nabors' IR team. With that, Rocco, we'll wrap up the call.
Operator: Yes, sir. Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.